Operator: Welcome to the Dream Unlimited Corp. Second Quarter Conference Call for Wednesday, August the 14th, 2024. During this call, management of Dream Unlimited Corp. may make statements containing forward-looking information within the meaning of applicable securities legislation. Forward-looking information is based on a number of assumptions and is subject to a number of risks and uncertainties, many of which are beyond Dream Unlimited Corp.'s control that could cause actual results to differ materially from those that are disclosed in or implied by such forward-looking information. Additional information about these assumptions and risks and uncertainties is contained in Dream Unlimited Corp.'s filings with the securities regulators, including its latest annual information form and MD&A. These filings are also available on Dream Unlimited Corp.'s website at www.dream.ca. Later in the presentation, we will have a question-and-answer session. [Operator Instructions] Your host for today will be Mr. Michael Cooper, CRO of Dream Unlimited Corp. Mr. Cooper, please proceed.
Michael Cooper: Thank you, operator and good morning everybody. Thank you for spending some time with us. We're here with Meaghan, and Meaghan will provide an update on the quarter. I just thought I'd start with a couple of macro thoughts in terms of how we're looking at our whole business and I think it might help explain our point of view. The results are quite good and it's consistent with our thoughts. So, firstly, this morning, some numbers came out of the U.S.. Yesterday, some numbers came out of the U.S. I think about what happened with COVID when there was so much appropriate fear about the economy and people's well-being at the beginning of 2020, which is like a long time ago now. And when I think about what my hopes and expectations were in March of 2020, we're all doing so much better than that and I think it gets so lost when people look at things. I think the government spent way too much money and locked us down too long, but of course, at the beginning that made sense and we got through it. There's probably overheated economy in some areas, but now we started to see in 2022 inflation took off. Even though the Bank of Canada and the U.S. Fed say they're going to keep rates low, they started to raise them. A lot of discussions whether it be a hard landing or a soft landing. It is now 27 months ago, maybe longer. And what we're seeing in the numbers this morning is that things are getting more under control. So, I think it's amazing, all the things have been handled. And we're approaching -- a year ago, we were approaching the highs in interest rates of about 5% of the states and 4.2% for 10 years in Canada. And today, it's around 3% in Canada and 3.85% in the U.S. That's a massive change. Canada, we've had few rate cuts. We're going to have -- I think there'll be rate cuts this fall, starting in September in the Fed and all of this is actually great progress. We're seeing a little bit of a rise in unemployment in the U.S. In Canada, we're seeing a little bit of a rise, too, more than a little bit. Although it's so difficult to understand how much of it is immigration as opposed to job losses. But overall, I think it's going pretty good. I'm astounded by how negative people are in Canada. We deal with institutional investors, whether they're private equity funds or sovereign wealth funds, very, very sophisticated investors who invest all over the globe and they all think Canada screens very, very well. So, I think that there's a real negative slant, despite the fact that if we were all talking in March of 2020, and I told you this is a situation that we've been in four or five years, but I'll say, hey, that's not so bad. So, I think that, with a longer term view, we think things are setting up pretty well overall. I've been speaking over the last while about the company and really focusing on our Western Canadian business, our asset management business, and our income properties, and each of them have gone through major changes over the last five or six years. Western Canada, we built our business based on the profits that we made in Western Canada between 1994 and probably 2013. For 2014, for a few years, it got very weak and it's coming back. It's coming back for a lot of reasons. Our numbers are good this quarter. But I think what's more important than numbers this quarter is all of the things that are leading to good numbers this year in Western Canada, we're doing so much that shows that this is going to continue and maybe pick up steam. So, Western Canada is doing very, very well for us. On asset management, we've grown a lot over the years. Our current business is making quite a bit of money and we're excited about that. This year, we got to promote because it's been three years since we launched the U.S. Industrial Fund. And there's a promote after every three years and it has done quite well. So, we're not going to have that every year. But having said that, we're working on a lot of opportunities to invest to grow our asset management business. And I think we'll hit one or two over the next year or 18 months. So, I see asset management growing internally as well as new areas to grow, very exciting. And on the income property side, we've really shifted our business to do more building to hold. And we are at about $800 million. We have five buildings that were $800 million directly on our balance sheet, not any of the indirect interest in a lot of real estate, but just directly on our balance sheet, and that part is going quite well. We're -- as I said, five buildings in the organization are under lease-up. The ones that just as -- I mean it's amazing every time we look at it, it's like the building that we're finishing in Western Canada are full, at completion. And in Ottawa Gas, they're leasing up quite well. And in Toronto, we had a slow start, but I think we're making a lot of progress. So, that's turning land into income properties. These income properties will be very good for us for many, many years, and we're adding to our income properties rapidly. So, those three areas are a massive part of our business, over 90%. And then not everything is going well as everybody knows, Office is a difficult asset class. Since 2016, we've been reshaping Dream Office. We've made into a great company, and the office isn't in favor now. And it's -- the team is doing a great job and we're going to have to sort of muddle through these times, but I'm pretty excited about what we own and the future of it after we get through this. Again, I'm not sure it's a work-from-home, but it seems to be less and less of an issue. Now, we have sort of typical recession, where -- recession thinking where companies are trying to save some costs. But we're grinding through all of it. And then with the Impact Trust, it has a lot of income properties, a lot of apartments, they're going great. But especially trying to turn land into either condos or income properties in Toronto is increasingly challenging. And that's an area that we have to continue to work on. Our stake in that company isn't very high. The projects and assets are great. And we monitor it on a day-by-day basis. And with relationships with the various governments and lenders, we've had great success. CMHC seeing us as a trusted building partner is very valuable to get projects through the system quicker, and they are really showing up as a great partner. I think the Federal government has been doing a lot with the waiver of HST. CMHC has a lot of money to promote apartments. We are working very closely with the City of Toronto, who I think is doing an excellent job trying to understand the issues and create obstacles to development. The province waived, they pay a portion of provincial sales tax. And I think they're setting up pretty well, too, to support. So, we're working very closely with the street levels of government. And while I hear everybody complain about every single thing the government does, we've never had more support by every level of government in areas that we needed the most to get these apartments and rental properties built. So, overall, I think we're doing well. I think we're producing a lot of money. I think our business is growing. We have challenges in parts of our business, but the benefits of being a diversified company is really coming through. I'll turn it over to Meaghan to provide details. And Meaghan and I will be happy to answer questions afterwards.
Meaghan Peloso: Thank you, Michael. Good morning everyone. Our second quarter results were extremely strong as we recognize earnings on a standalone basis of $55.5 million, up from a loss of $100.8 million in the comparative period. This is largely driven by the two parcel sales in Edmonton and revenue of $15.7 million in carried interest related to the Dream U.S. Industrial Fund. The comparative period included an accounting loss of $88.2 million on the sale of 7 million Dream Office units, in addition to our share of the recent losses in that period. On a segmented basis, in Q2, our recurring income properties, again, all on a standalone basis, including A-Basin, which is under contract, generated revenue of $28.2 million and NOI of $11.6 million, up by $3.3 million and $3.6 million from prior year. This was largely driven by strong performance of the Distillery District and improved yields at A-Basin. We continue to build out the segment as we develop our apartment pipeline and anticipate adding a further 700 units a share between now and 2026 based on what is currently under construction or in the pre-dev phase. Our asset management business generated revenue of $28.6 million, a margin of $20.5 million, which includes the aforementioned Dream U.S. Industrial Fund promote fee of just under $16 million. Excluding the promote, margin from our asset management division was down relative to prior year, driven by reduced transactional and development activity, which will fluctuate period-to-period. Now, as it relates to the development segment, revenue and net margin of $65.9 million and $30.9 million was generated from our Western Canada Development Group, up significantly from 11.2 and a loss of $0.5 million in the prior year, which is really being driven by the two Edmonton parcel sales discussed in the prior quarter. Margin for these two transactions was $28.1 million. Lot sales on a quarter-to-date and year-to-date basis were 80 and 103, respectively. As of today, we have commitments for an additional 515 lots and 115 acres through 2025, representing $185 million in revenue. $134 million of that will be recognized over the second half of 2024. This is a significant level of prefilled volume, reflecting some of the strongest performance in Western Canada in our history. Now, aggregating our Western Canada development, asset management, and income property operations, again, on a standalone basis, our total margin in the first half of the year was $66 million, up from $20 million in prior year, which is pretty significant. We continue to maintain very strong liquidity ending the quarter with $280 million in total liquidity and a conservative leverage position of 39% on a standalone basis. This includes certain assets held at cost, which can be lower than market value. With that, I'll turn the call back over to Michael.
Michael Cooper: Thank you, Meaghan, for introducing facts. At this point, Meaghan and I would be happy to answer any questions.
Operator: Thank you. We'll now begin the question-and-answer session. [Operator Instructions] Our first question is from Sam Damiani of TD Cowen. Please go ahead.
Sam Damiani: Thank you and good morning. First, congratulations on the great quarter. First question is on the CMHC frequent builder designation. That looks very interesting. I was wondering if you could provide a little bit of color of how and when you expect those advantages to first materialize for Dream?
Michael Cooper: That's a fascinating question because this was referred to in the budget. I think in the fall economic statement, there's references to it. And the CMHC has been working on it. We've actually had consultations with them as they have with lots of developers. So, we started to see a real change by the beginning of June. And I think they were either doing it or practicing it, but they have become much more responsive and things are moving through the system much quicker, which is very helpful for us. So, we've already seen benefits from it.
Sam Damiani: And how would that sort of materialize in terms of would it basically enable the company to kick start some Toronto developments in the near-term? And I guess as a follow-up, I was wondering what you meant specifically, about the quote about expecting updates on Toronto development in the next three to six months. I wonder if you could just, I guess, tie that together and shed some light on that?
Michael Cooper: Sure. So on the first part, work with CMHC is helping us in Ottawa, Gatineau, and Calgary. I don't think in Saskatchewan we're doing anything with them. In Toronto, we're working with them, and we make progress. Again, the gap to make a project -- a goal to get high enough returns, manage risk, has been harder in Toronto. And I was saying it before, like the City of Toronto is very much aware of it and they're very active looking for feedback from other developers from banks, from economists to -- see what's happening in Toronto is, there's still a tremendous amount of construction. And a lot of the construction are potentially buildings that were sold before COVID. And what we're seeing is, as the cranes come down, they're not being used again. Now, we started four months, and we sold it in June of 2023, are the last ones to get through. A couple of other developers got some of their buildings through and I think it's harder now. So, what's happening is there's so many fewer buildings starting that are finishing that -- it was hard to believe it first to say a year ago when we were talking about this, but now everybody is seeing it. And lands are getting approved by the city, but people aren't starting. So, I think the city is very much aware that we have a housing crisis. The Federal government has incentivized the cities to do what it takes to get things started. New buildings provide a lot of development charges and taxes and the city needs it. So, we have a much more balanced conversation going on. We're all trying to find a way to fix the gap. So, as an example, the city on a piece-by-piece basis, has waived the requirement to replace office space if it helps get housing. So, there's all kinds of things like that. They have the open doors policy that's been around for a while, and it's expanding. And that provides a lot of benefits if you have affordable housing to reduce your development charges, et cetera. And I think the city is taking in all sorts of opinions from people, and we know they're hard at work finding ways to make starting developments easier. So, we're expecting that over the next three to six months, the city will have some ideas. And I think -- I don't know exactly where, but I think they made public statements in that regard as well. So, I don't think we're seeing anything that the city isn't saying as well.
Sam Damiani: Okay, great. Yes, that is super helpful. Looking forward to more updates in the months ahead. Last question for me. Just on the asset management side, Michael, you mentioned hoping to hit a couple get a couple of hits over the next 12 to 18 months. I wonder if you could shed any light on sort of what sort of things you're looking at and what that could look like?
Michael Cooper: Everything we're good at. I don't mean that's funny. We're seeing that there's a foreign capital that finds Canada interesting, and we are trying to market Canada, Toronto, the West, and I suspect we're going to find some investors who are interested in income properties in Canada. I don't see it's very likely that we'll find four investors interested in development. I just think that's more local and complicated. But I think on the investment side, we'll probably see some interest in income properties. In Europe, we're seeing some interest. And Europe is doing way better than people expected. And generally, what we're seeing is the people have invested in real estate for a long time. They're not loving their portfolios. They want to make changes. Everything has been frozen for a while, but it seems like it's unfreezing. Private equity is showing up more in Canada. And -- so I think we're now starting to see that freeze free up and people are making new decisions, and they're interested in trying new things. So, we think there's -- we're presently having as busy as we've been talking to new institutions about new ideas and we expect that some of those will hit.
Sam Damiani: Okay, great. Thank you. I'll turn it back.
Operator: [Operator Instructions] The next question is from Mark Rothschild with Canaccord Genuity. Please go ahead.
Q - Mark Rothschild: Thanks. Good morning everyone. Michael, the strategy as far as the development projects and the land development, obviously, you can't shift these things quarterly or even every year. But I'm just curious how the recent move in interest rates would maybe impact your thoughts on starting new projects and your outlook for maybe condo development or other projects in your portfolio?
Michael Cooper: So, I think we're at the very beginning -- no, my thoughts together. Today, a 10-year bond is about 3%. If we're working with CMHC, we can get 10-year financing at 3% or less. So, with regard to doing apartments with CMHC, lower interest is better, but interest is not an issue anymore. It's all -- it's construction cost, some of the costs associated with the development with the city. But the development side with the city is coming along. Construction cost is unsolvable. It's just shocking how expensive things are. And hopefully, we'll see some improvements, but we see no indication of improvements there. So, the interest rates are fine at the 3% level. From going from 5.25% to 5% to 4.75%, it's a nice thing for consumers. For us, we save a bit of money. We got a lot of stuff hedged. We have some floating rate debt, but it's not -- it's no real consequence for our company. The real issue is when do the consumers start to feel better. So, right now, it looks like you get a five-year mortgage under 4.5% fairly readily, and I think that's pretty good. I think a lot of buyers are waiting to see how much lower it goes. But when you think about how when interest rates are increasing, people are incentivized to move quickly. On this side, I think they're incentivized to move slowly and get comfortable and they're not really concerned at this point about prices get taken off. But we have seen a lot of surveys that are showing the projections for housing prices to increase in Toronto. So, I think it's getting better, but the gap between what finished product is selling for and what you need for a new one is still too far, but hopefully, we'll see that close. So, everything is going in the right direction. The flip side is in Western Canada, they're already buying. They're buying it at -- I think the consumer is buying, businesses that are buying land from us, institutions like schools are buying land from us. We're building apartments, they're filling up right away and interest rates are coming down. So, that should get even better. So, we think in Western Canada, it's very, very strong, getting stronger. In Toronto, it's more a work in progress, it is getting better, but it's tough. Ottawa and Gatineau and are kind of working according to plan. But having a 3% 10-year bond and doing it doing a 3% loan on an apartment building, let's say, in Ottawa and Gatineau is quite achievable. We can build to at least 150-basis point spread between our cost of debt and the yield on costs. And that's why we're building so much in Western Canada and then a capital region.
Mark Rothschild: Hey good. Thanks. And maybe just one more. I'm not sure if you said anything about this early in the call and I missed it. But as far as Arapahoe Basin, what's your level of confidence that the sale can close by year end?
Michael Cooper: Well, I would love to tell you I'm expert on everything in America, but I am not. I have been learning as we go. I am shocked that the Department of Justice looks so closely at every single transaction. Arapahoe Basin is 2% of the Colorado market. The people who are buying it, they have 24%. This would take the 26%, [indiscernible] has 40%. Whether Altera has 24%, 26% looks pretty meaningless, but they have asked us to submit information, which is going in now and we'll hear in the next couple of months. But everybody involved is like this is a process. They believe the outcome is certain that they will get approved. But I actually don't know, I'm learning about it as we go.
Mark Rothschild: Okay, great. Thanks. Good luck with that.
Michael Cooper: Thanks.
Operator: We have a follow-up from Sam Damiani with TD Cowen. Please go ahead.
Sam Damiani: Well, thanks. I just wanted to ask about the lot sale commitments through the end of next year, increasing by over 200 from last quarter. Just wondering what's driving that? If it's one or more bulk deals? Or if it's an indication of kind of recurring consumer demand?
Michael Cooper: That would have more to do with that our progress on getting those lots ready, crystallized to sell. You're going to mean like that's driven by where we are on approvals and starting construction more than it is on anything else. The key thing is everything we brought to market has been sold to the best of my knowledge.
Sam Damiani: So, it's more that the demand was bigger than your quarter ago commitments we're indicating?
Michael Cooper: No, it means that we opened up a new part of a subdivision and made those lots for sale. Like if you come to buy something from us today, I don't think we have anything to sell you. But in the third quarter, maybe at the end of September, we'll have another 100 or 200 lots in Olan [ph] or Brighton or somewhere else. And then you can buy those. And what's been happening is when we make them available, basically, they all sell out. So, the other thing we're doing is prior to doing some of the work, we're getting presale commitments. So, it might come to you and say, okay, now we're ready. Do you want to sign up for 40 lots in this community? If we get enough we'll build it. And then we -- I mean, that's going very well. We've been hardly doing any spec development. So, my point is when the land is ready, that's driving when the sales are.
Sam Damiani: Okay, that's super helpful. And then I guess with the increase, if it's 220 or whatever it is, is it concentrated in one or two communities or is it pretty widespread across your major communities that you're active on right now?
Michael Cooper: No. No, again, I think it's Brighton.
Meaghan Peloso: Between Brighton and Providence facility.
Michael Cooper: Yes. And we did a lot of parcel sales in Providence. We might have done some single-family, I don’t remember when we brought them to market. But one thing I would say that to me is more insightful, no disrespect, obviously, is that -- if we were thinking of developing 50 lots. In some place, we increase them to 100 because of demand. That's the real driver. We've had interest, so we're going to do more.
Sam Damiani: Got you. That’s great color. Thank you and I'll turn it back.
Operator: We have a question from Sid Levin [ph], a shareholder. Please go ahead.
Unidentified Analyst: Hi Michael, congratulations on -- and the team, congratulations on a fantastic quarter. I just wonder if I could follow-up just a little bit on the last comment that you made. It relates to the development or rather the sale of lots and acreage. From what you've described, it seems like it's not a demand issue at all, but it's a supply issue. Could you maybe explain a little bit about what that development cycle is? And to what degree you can forecast a year or two or three years forward? What supply of lots and acreage you might have available for sale? It's just like such a large part of the cash flow to the company, I'm just wondering how predictable on the supply side, the available lots and acreage are? Thanks very much.
Michael Cooper: Thanks for the question, Sid and thanks for spending your time on our businesses. We appreciate it. Your question is one that's very difficult to give a short answer to. So, I'm going to try to my best, but have some patience. Let's say we get 1,000 acres approved, like in Brighton. We'll map out where we think we're going to develop year-by-year. And it's not just how much we're going to develop, it also has to do with we need some retail. We might need a school site. Maybe we're going to build some apartments, where we're going to have single-family -- a single-family, maybe we'll have some lane housing, which is really at the low end. Maybe we're going to have some housing on a pond, which is at the high end. And we look at it, say, okay, this is the way we're going to develop. It is very expensive to go out of sequence. You know what I mean? Like if you're going to do a Phase 1 and they want to do Phase 8, it means you need to put roads and sewers and everything else. So, the way we line this up is really important. But we do have room to make Phase 1 bigger or smaller just because of demand -- or we could also make it a little bit bigger, smaller to provide different kinds of real estate for sale. So, if you were sitting with me and we had a map out, I could show you what we plan to do in 2032. So, that's really what drives it. And then when we -- I mentioned earlier, what we try to do is we try to presale when we're ready. So, then we'll go to the builder and say, you guys, what's your appetite in this area? And that's where we really get a sense of demand. But what that means is we'll get a -- that's where these presales come from. That means we have a contract to buy it, but it's way to advance. We still have to maybe even start construction and it will only become a sale when we got the asphalt down, they have access to it, and we meet other requirements where they can start to get a building permit. So, we probably have -- and then we get the money a year later. So, over the next like 12 to 24 months, we have a really good insight on what we're going to have. And then when you get out further, like next year, so that's why you're saying like we've got 2024, we know what's going on. 2025 looks really good. When we start to work on 2025, 2026 and 2027, when you look at the presales, you can see it says some will be realized in 2024, some in 2025. So, we're already selling land that we know isn't available until 2025. Soon we'll get to land. What we'll take deposits won't be available for 2026. So, we actually have pretty good visibility. And it's more on the edges when we say, okay, why do we go from 80 to 120 lots, and expand the subdivision a bit. That's really the margin. But for the most part, what we're seeing is steady demand. And when I say to the man, we're not just talking to what is already buy lots from us. We're talking about whether the builder is selling the lots to the final customer. And what we keep close track on our subdivisions is how many end users are buying houses. And from that, we can tell pretty much that the builder is going to want to re-up as they're getting through the demand. And we learned that lesson in 2014 and 2015, where we're selling lots of people, but they weren't selling it to any end users. So, we got a sale, but then the next year or the year after, they didn't buy anything from us. So, we're now really matching up our development costs with the demand by the ultimate customer. So, we've got pretty good visibility for 2024, for 2025. We mentioned last call that the City of Saskatoon is going to build elementary school, a high school, that's public, plus a catholic elementary school, catholic high school, the white build a $60 million community center all in our land. And that like we won't have presales for that, but we know that's going to generate tremendous demand. And if we were forecasting, we would say, well, we don't have the presales, but we know we're going to sell more as 3,700 students start to attend that school. And I think they'd rather live around the school with all the facilities, then have to take a bus. So, for the most part, we have very good visibility. And when you get longer out, we look at those kinds of things. And right now, a lot of things are lining up very well.
Unidentified Analyst: Excellent. Thank you very much.
Michael Cooper: Thank you.
Operator: This concludes the question-and-answer session. I'll turn the conference back over to Mr. Cooper for any closing remarks.
Michael Cooper: I do want to thank everybody, like, I think, Sid, for your time and attention. We're happy to provide more answers. If people want to see our properties, we're happy to make it available. But thank you for following us and we look forward to working for you. Thank you.
Operator: This brings to a close today's conference call. You may disconnect your lines. Thank you for participating and have a pleasant day.